Operator: Good day everyone. Welcome to the Remark Holdings First Quarter Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Becky Herrick of LHA. Please go ahead madam.
Becky Herrick: Thank you, operator. Thank you all for joining us today for the Remark Holdings first quarter 2017 financial results conference call. On the call today are Chairman and CEO, Shing Tao; and CFO, Doug Osrow. After the prepared remarks, we’ll open the call for questions. A webcast replay of today’s call will be available at www.remarkholdings.com. Some of the statements made today may be forward-looking statements. These statements involve risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by these forward-looking statements. Any forward-looking statements reflect Remark Holdings current views and Remark Holdings expressly disclaims any obligation to update or revise any forward-looking statements after the date hereof. This disclaimer is only a summary of Remark Holdings’ statutory forward-looking statements disclaimer which is included in its filings with the SEC. Also please note the company’s uses financial measures, not in accordance with generally accepted accounting principles commonly known as GAAP to monitor the financial performance of operation. Non-GAAP financial measures should be viewed in addition to and not as an alternative for, reported financial results as determined accordance with GAAP. To support the company’s use of adjusted EBITDA later in this call, a reconciling table is provided at www.remarkholdings.com, and a similar reconciling table will be included in the company’s Form 10-Q, filed with the SEC today. And I’d now like to turn the call over to Shing Tao. Please go ahead.
Shing Tao: Thank you, Becky and thank you all for joining us today. To not only survive the growth in the technology business, we have to catch the wave; and to catch the wave you have to be early. We have caught the wave where mobile and cloud computing, our two dominant technology shifts that created enormous opportunities over the past seven years. Perhaps an even greater opportunity lies ahead of us with the wave of artificial intelligence, a wave which we have caught early as many of you have known. Remark Holdings first started off as a content company, always looking to transform itself into a technology one, but the global scalability at a low cost protected by the ability to innovate efficiently and effectively remains the core focus. In this 3.5 short years, we are very proud of what we’ve built here at Remark. At the core, is an artificial intelligence platform and not only contingent to enhance data from third party groups like Alibaba, Tencent, but now has the ability to connect the dots to generate its own. This artificial intelligence platform we have built as one of the Best Breakthrough Technology awarded by Alibaba amongst 600 plus top tech companies in the first quarter. Plugging into the core, our revenue generating cash flow positive producing businesses like Vegas.com that continues to grow as a standalone, but more importantly, will grow exponentially faster once integrated with KanKan, our data and AI hub. In the meantime, the models created for Vegas.com on KanKan can also be product sized, serve other partners and build new businesses which will go KanKan’s business even faster. Our first quarter 2017 results demonstrate our continued top-line improvement and set the stage for a strong year of growth for Remark Holdings. Our KanKan based intelligence platform that’s poised for significant revenue growth this year. For those of you who are new to our company, KanKan began as a social media network with massive data scale and reach. It was established by building technology that connects multiple social media networks onto a single platform. This capability had since then expanded to include additional online businesses with vast amounts of consumer data such as TripAdvisor, Yelp, Twitter and the counterparts in China. Key to the development of KanKan is the creation of a dynamic enriched data platform and the implementation of artificial intelligence and machine learning based data analysis capabilities which enable us to analyze and packages data to offer a series of data solutions and products. We’ve created a company that first started out as being focused on big data from both sides of the Pacific, however, realizing that big data alone doesn’t create value, we needed to connect the dots to see the true correlation through machine learning which is what sets our platform apart. The ability to have predictive capabilities that lead us to regeneration, risk management, capital efficiency are all created by the platform we have built. After nearly three years of research and development, KanKan recorded its first revenue during the first quarter of 2017, representing the early stages of its monetization. I’m doing this call right now during my trip to China and the growth opportunities here only make our results much greater. After meeting with one of the largest P2P lenders in China, we made a mistake. Our mistake was that all the reports out there were wrong in terms of just how big the market is. It’s much bigger than we ever thought. The industry is currently $300 billion industry and projected to grow at a 25% to 30% a year. The reason for this is a demand issue. Financial institutions out there focused on the large state-owned enterprises otherwise known as the SOE which leads to individuals not a lot of options of where to turn. But what keeps the lenders up at night? It comes down to the question of how do I stay in front of a possible default situation which comes from a number of different reasons; number one, too much debt from too many different lenders; two, change of lifestyle; and three, you are not who you say you are. These are all issues social financial credit product addresses. While these lenders clearly all have the customer reach, the licensed technology platform that we have built to address these issues on a large scale. This is exactly what KanKan’s artificial intelligence platform has set out to do, to perform large scale task cheaply and efficiently. Companies like BluFAX, Geron and the recently IPO-d company China Rapid Finance are underscore this tremendous opportunity. There are still more than 2,000 online platforms in operation and lending continues to accelerate. Loan volumes in March hit a new record amount, 251 billion which equates to US$36 billion, bringing the total outstanding to 921 billion roughly US$130 billion equivalent which brings the growth to almost 83% in the year. Just to be clear, we are not in the business of lending. We are in the business of providing a technology that can be used by all, to lower their own risk profile and default rate. Just last week, the U.S. and China’s trader court that was agreed upon allows foreign-owned financial groups to offer credit rating services in China by July 16. China is a very different market as you all know, and you cannot take what works in one country and apply to the rest of the world and in particular, here. Take a look at eBay, take a look at Uber, they are still trying to strategy and execution are well -. As you know earlier this year, we began the rollout of our social credit service product. And through KanKan Social Credit, we are now targeting probably unique to China where there are still no reliable credit checking systems which limits finance and consumer spending opportunities. Again, we stress that our vast data repository enables us to use social data to confirm a person’s identity and analyze their transaction data to verify their financial status. We’re targeting the loan businesses that require quick, low cost, and non-traditional risk management model such as travel, cash, payday and shopping loan businesses which are the fastest growing spectrums in the financial field. KanKan is also targeting to serve traditional loan and asset managing businesses that are more and more frequently using consumer, social and online behaviors in the marketing and risk management strategy. Also within the first quarter, we began receiving incremental sales from our data partnerships with Alibaba Cloud and Tencent. Late in 2016, Alibaba Cloud marketplace - to promote KanKan’s deep-learning based image classification solution for its business customers in the cloud computing environment. KanKan’s advanced facial recognition and image classification services is currently being sold as part of the solution and we expect revenue volumes to ramp throughout the year. Alibaba’s Cloud also chose KanKan to support its new enterprise profile portion for artificial intelligence technology. The combined offering provides Alibaba Cloud enterprise customers with a comprehensive platform offering real-time risk insights, enterprise development analysis, investor, partner and customer targeting and customized data packages by leveraging publicly available business data in China on the macro level. This enterprise profile solution is expected to be made available to customers in the second quarter with incremental revenues begin shortly thereafter and increasing in the month ahead. With our partner Tencent, we are co-developing machine learning-based predictive model, - customers in a wide variety of verticals. Our model train based on data from Tencent’s ecosystem and KanKan’s consumer profile. They enable us to reveal deep insight in consumer behavior regarding specific products for brand and create customized digital marketing solutions to provide highly effective and cost efficient data model to our respective customer basis. In other words, the models we are developing offers sustained competitive advantages by lowering the technical threshold and precision marketing and reduce in corporate marketing investments. A model that train to precisely recognize consumer behavior in fashion, luxury brands and automotive sectors that are being test by brands of partners and we expect to see steady revenue growth in the second and third quarter of 2017. As we mentioned on the last earnings call, we’re in the process of launching what we believe to be indispensable new product that targets the explosive growth of live streaming; our pornography and violent content filter. Based on our image object recognition model and natural language processing model, chains of millions of samples and various neural network, we could retrain the models with smallest set of samples to identify violent images and languages. Then we develop the positive filters and/or – proper content within still images or live video streaming. Supporting over 2,000 channels per second, we have achieved high percentage on pornography and violent content detection. Really all the recent concerning Facebook has only validated our value proposition in which we just built over the last six months. As most of you have watched or read over the world news, since introducing its popular live feature, Facebook did not anticipate a potentially dark implication of a technology platform that allows easy access to people with bad or notorious intention. Facebook originally had set out to create a platform for fun and happy teen idols and those we call influencers were met -- in certain videos that involve acts of violence that was streamed in real-time and kept online for varying periods of time. As a result, Facebook announced to add 3,000 more moderators over the next year to combat the problem. With so much content now being generated daily, a billion plus minute a day, artificial intelligence is the only really effective and efficient means of filtering and we’ve created such a platform. And so KanKan has the solution to address this problematic local issue. The live streaming market is going so fast in China. Twitch, which was acquired by Amazon a couple of years ago for US$1 billion, shows in comparison in terms of growth. The reason why it first began to grow so much is partly due to the platforms allowing vendors promote their own goods real-time to consumers. Now it’s expanded to interactive entertainment. Because of many of these users are from smaller cities, streaming is so crucial because mobile is the only gateway for residents in terms of entertainment and shopping. Around 47% of Chinese internet users represent approximately 344 million people currently are taking part in live stream. At the rate it’s growing, experts forecast - sector will top the entire China movie box office receipts in a few years. China Renaissance Securities and investment bank estimate the annual revenue from the live streaming to be more than three time the current US$4.3 billion in 2016[ph]. Credit Suisse made a similar forecast as well. But with growth, comes regulation hence, our opportunity. China’s Ministry of Culture which is responsible for the protection of traditional Chinese culture has launched a massive inspection on online performance service providers, targeting vulgarity, obscenity and wrong life values. With several successful past cases, we ran with large live broadcast company, our live stream built-in product is also to target this increased oversight. We are planning to deploy the service to several live broadcasting company in the second and third quarter and expect each of them to generate hundreds of millions checks per day. Overall, this is a very exciting for Remark Holdings and KanKan. We expect KanKan offerings to contribute incrementally to revenue in the second quarter and more significantly in the second half of the year. On to Vegas.com. Our Vegas.com continues to be the leading platform for Las Vegas travel and tickets. Vegas.com continued and strong contribution to our operating results in the first quarter demonstrating that value we have brought to the asset since acquisition in 2015. For example in the first quarter from hotel to show tickets, and from advertising to mobile, conversion rate and transaction will up year-over-year across the board. Hotel conversion rate grew approximately 14%. Conversion on mobile devices grew approximately 14%. Show ticket conversion on mobile devices were approximately 24% and advertising revenue grew approximately 13 Also, we thought it'd be helpful to investors to begin providing data on transactions. Excluding cancellations, transactions originating on desktop devices increased 17% and transaction originating on mobile devices is 18% year-over-year in the first quarter. In addition, of the top 20 ticket sales in Vegas.com history, 14 have occurred since the start of 2017 which is particularly significant as the second half of the year is typically our seasonally strongest period. Our work to enhance the performance and content in Vegas.com continues. We’re currently leveraging the best performing aspect from our desktop platform onto our mobile platform to further enhance the user experience on that fast growing medium. Early in this year, we determined that our best long-term interest to end our partnership with the Las Vegas Convention Authority with whom we’ve been co-managing LasVegas.com for five years. Under the existing arrangement, set to end during the third quarter this year, the convention authority ran the platform while Remark managed the inventory and backend responsibility. We made our decision so we could bring LasVegas.com under our full control and bring to LasVegas.com any or same improvements that proves effective on Vegas.com, thereby enabling us to scale our footprint, drive increased traffic and booking in order to increase revenue. For example, conversion rates on LasVegas.com are roughly one-third to one-quarter the conversion rate at Vegas.com, representing a significant opportunity to increase still. Our travel and entertainment segment adjusted EBITDA was down 31% year-over-year, but if we exclude the effect of the 625,000 LasVegas.com licensing payments which are now charged to - which we’re reducing the liability prior to July 16, adjusted EBITDA for this segment would have almost doubled. Now moving to FansTang. We see continued growth in the quality and positive demand for FansTang self-production as well as the premiered license content. And FansTang continues to position us favorably with the Chinese millennial audience as the leading provider of the western digital video content with a social media community of more than 145 million in China. For example, this past quarter, the number one Hollywood entertainment news show, This Week in Hollywood produced by FansTang is getting 2.5 million views on average up from last year’s 2 million. We’re including more movie related topic such as Kingsman 2, Guardians of the Galaxy 2 and the Fast and Furious. The show continues to be the top three of Sohu TV’s entertainment and U.S. TV Content. Also in Q1, we began adopting a multi-channel strategy where highlighted popular – will be synced on China’s top social content news app such as Toutiao, NetEase news and Tencent News. We would expect these channels can contribute millions of extra views to our program -- at little additional cost. At the same time, we’re seeing higher and higher demand for premier content such as the Billboard Music Awards in China. The event should be held May 21 reach a new height in terms of license – we received from different media platforms. We are distributing it to Tencent Video to bring top tier Chinese and key opinion leaders to amplify their influence. Regarding business development, FansTang landed its first online HSB client - .com for a series of short video campaign. We believe this will provide us pathway into a lucrative and rapidly growing overseas travel market in China. We expect recurring business from – and are actively reaching out to airlines and other online travel agency platform. Looking ahead, we’re confident about renewing our current show contract. We’re pitching three main shows to video platforms including YouKu, iQiyi and Tencent. The shows include fans turn to the stars Victoria’s Secret edition, summer holiday with NBA stars, being a celebrity host and commentator in China and This Week in Pop. They are spin-offs and continuations of our successful format and our goal is to reach a new level in terms of production quality, viewer – sponsorship generation. We are also reaching out to Sebastian Stan of Captain America and Gal Gadot of Wonder Woman on behalf of our clients for branded events and campaigns in China, riding on the popularity of superhero movie in Q2 and Q3. With that, before I turn the call to Doug, I know we reported in our press release this morning the tax sites continue to perform well. Website traffic has grown almost 6 million in 2014 to what we expect to be over 14 million this year. While we are pleased with the growth of these assets particularly US Tax Center at irs.com. Given the tax – for outside of the company’s overall core strategic focus and growth plans, we believe monetizing these assets is in the best long-term interest of the company and we will review options. With that, I’d like to turn the call over to Doug. 
Doug Osrow: Thank you, Shing. One thing I just wanted to quickly correct – the adjusted EBITDA for LasVegas.com was down 31,000 year-over-year and not 31%, so again, we’re down 31,000 year-over-year, but if you take the effect of the $625,000 LasVegas.com licensing payments, we would have basically doubled the EBITDA year-over-year. So, with that, as a reminder, our financial results for the first quarter of 2017 includes FansTang which we acquired in September of 2016 and which was not part of our financial results for the first quarter of 2016. Net revenue for the first quarter of 2017 was $15.3 million compared to $14.3 million in the same quarter last year. Total cost and expense was $20.7 million for the first quarter of 2017 compared to $19.4 million in the prior year. First quarter 2017 operating loss was $5.4 million, compared to $5.2 million in the prior year. Net loss was $25,000 or $0.00 per diluted share for the first quarter 2017 compared to $2.4 million or $0.12 per diluted share in the first quarter of last year. Cash at December 31, 2016 was $8.6 million compared to $6.9 million at December 31, 2016, restricted cash at both March 31 of this year and end of last year was $11.7 million. As such, our combined cash position at March 31, 2017 was $20.3 million compared to $18.5 million at December 31, 2016. Turning to our 2017 outlook. We continue to expect KanKan’s revenue to grow more than $5 million for the year and are again pleased that we are finally generating revenue from KanKan. As previously discussed, we also expect to increase Vegas.com revenue and EBITDA by 15% to 20% each and are very excited about the opportunity that will come when we take back the LasVegas.com. And with that, I’d like to turn the call back to Shing. 
Shing Tao: Thanks, Doug. 2017 is poised to be a transformative year for Remark Holdings as we begin to fully realize the value of our digital lifestyle brands benefit from our diverse revenue models, drive innovation and scalability within the industries we serve and establish new and deep and existing key strategic partnerships with global leaders. Operator, we are now ready to begin the Q&A session. 
Operator: Thank you. Today’s question-and-answer session will be conducted electronically. [Operator Instructions]. It appears our first question comes from Darren Aftahi with Roth Capital Partners. 
Darren Aftahi: Hey guys. Thanks for taking my questions. Couple if I may, Shing you gave a lot of detail on KanKan, some of the channels you have and the ramp throughout the year, it’s great to see it’s finally generating revenue. I’m just sort of curious – kind of across the portfolio where do you see the sort of nearest term catalyst in terms of revenue generator? And I guess this is a derivative question, I think you talked about the violent content and pornography AI product last quarter. Is that live in market today and what do you see in terms of kind of the roadmap for that? Is there also opportunity for that product outside of China i.e. Facebook in the U.S. and other parts of the world? 
Shing Tao: Yeah, so thanks for that. So I think the beauty and curse of KanKan is when we had built the platform, we created a strong foundation and that’s been the data and that allows us kind of the optionality to go into lot of different directions, but obviously, we need to remain focused on what makes money quickly. And to answer that, those are the two products which – first is the social credit score which we already signed with several clients and now we’re in China right now and we’re having very positive - with some of the largest lenders here in the country, kind of the exact opportunity… so we see that as being the first and foremost. The second part is the live streaming and the live streaming business has nearly cost China – to imagine in a couple years time, this business will surpass the entire China movie market which happens to be the fastest growing kind of entertainment market in the world. And so just gives you an idea of what the growth opportunity here – In China, which is because of so much content being created every day, and because pornography is illegal, service providers cannot run the risk of being shut down by the government. So we see this as a huge opportunity. We are very confident in what we built that is something we can scale globally. So, China obviously already a big enough market, but we’re certainly not limiting our business development opportunities just China but also important in the rest of the world. But these are the two areas that I think that we really want to focus all of our energy on because I know being a KanKan brand product, we’re able to achieve the highest growth and EBITDA margins for us. 
Darren Aftahi: That’s helpful. And is there…go ahead. 
Shing Tao: No I was just hoping – I hope that answered your question. 
Darren Aftahi: Yeah, very much so. Maybe a couple for Doug, or one more clarification point. So on your other segment, can you just give a relative understanding of what’s contributory from KanKan and FansTang? And just so I understand that the license on the travel piece related to LasVegas.com, the 625, is that one-time in nature or is that sort of recurring -? 
Doug Osrow: Sure. So I’ll start with KanKan as we said, we’re not going to give too much specific stat about the exact dollar amounts, but I’m pleased that we generate our first dollar revenue. But to put in some perspective, this quarter we generated six figures in revenue for KanKan in the first quarter. Obviously given that we’re confident that we’re going to do $5 million in 2017, we expect this to be a fairly significant ramp quarter-over-quarter, but first quarter we did have over six figures. Regarding FansTang, FansTang got tremendous business opportunities but it is a little bit of a lumpy business as you wait for contracts to come in and one of the things that we found as we sell the product not just in China but also in the U.S., there are more parties that get involved. So while the contracts get larger in nature, they take longer to actually sign because you’re dealing not only directly with the company but you’re also dealing with multiple agencies both in the U.S. and in China. So that business is a little bit lumpy but we’ve got some large contracts looming and we hope to be able to close on them in the not too distant future. And then the last piece, I think you asked about was the licensing fee, the licensing fee year-over-year is $2.5 million and that ongoing today until 2040, that’s the licensing fee to use of URL the LasVegas.com. In previous years, last quarter was classified as debt given the relationship, now given where it’s booked on the balance sheet, it’s no long on the balance sheet, it’s actually on the income statement as an expense. 
Darren Aftahi: Great. Thank you. 
Shing Tao: One thing Darren, can I…
Doug Osrow: One thing before you chime in Shing is we have the ability to change that agreement now which is why it’s now classified as an expense. We can actually talk with the other side of the equation which is why it’s gone to debt to an expense and with that, I knew Shing was going to chime in. 
Shing Tao: No, I actually just wanted to touch on your question that you asked me and Doug regarding the how FansTang is ramping up, one of our biggest struggles is just the amount of business development opportunities there are. And we really need every person that’s doing sales to be focused on what – has the greatest growth opportunity and that’s sustainable. And so that’s a constant question for us is yes, we’re always targeting these large potential media sales, but in terms of sustainability and scalability, the focus has to remain on content in the various products that we’re offering in terms of social credit. So, just to – I’m just telling that in terms of where our mind’s been on that. 
Darren Aftahi: Got it. Thank you. 
Operator: [Operator Instructions]. Our next question comes from George Kafkarkou [ph], Private Investor. 
Unidentified Analyst: Thank you for taking my questions. Can you guys hear me okay? 
Doug Osrow: Absolutely, George. 
Shing Tao: Yes. 
Unidentified Analyst: Hey guys. Just one question about the financial asset, Shing, on your closing remarks, you said you’re looking at options, strategic options. So I assume that means a divestiture is that how I should be thinking about that? 
Shing Tao: Yes. That’s exactly how you should think. Like we have a lot of different assets and all of them are very attractive and some may be even more attractive to others. So for us, we know where our strategic direction is and so we’re staying focused on it. 
Unidentified Analyst: Okay. And…
Doug Osrow: And George, if I could just add, one of the reasons we wanted to wait till the end of tax season obviously tax season lingers through April before we actually put these assets to market. 
Unidentified Analyst: Okay. Do you have a sense of how long this cycle will take? What do you guys think about that? 
Doug Osrow: Shing, I’ll take that? 
Shing Tao: Yes. 
Doug Osrow: George, so far the response has been positive but as with any sale, typically even though it’s a pretty straightforward business, I would expect it to take anywhere from two to four months, a little bit of wide range there, it really depends. 
Unidentified Analyst: Okay. And will the subsequent cash generated from that, will that be used as operating capital or will you reduce debt or to be determined? 
Doug Osrow: Combination of operating capital but primarily just given some of our covenants with our lender primarily for debt reduction. 
Unidentified Analyst: Okay, very good. Thank you. Just a couple of questions on KanKan and then I can jump back into the queue. So it seems, you mentioned in your remarks and if I noticed properly, focus on social credit and obviously what seems to be taking all of us by surprise is the live streaming. But you also mentioned revenue from Ali Cloud and Tencent activities. So it’s fair to say that KanKan revenue this year will come from three buckets, meaning the product social credit, the product porn filtering and violence filtering and Ali Cloud and Tencent. Is it those three categories, KanKan revenue will come from this year? 
Shing Tao: Yes. I mean the revenue coming from those categories, outside of the two buckets of live streaming and social credit. As we created this artificial intelligence platform, what we want as the Best Breakthrough Technology Award is the fact that we created it both with source artificial intelligence platform for the everyday kind of company, right? So we’ve been able to offer these features to accompany that not – the $100 million or $200 million for venture capital. We make it available to everyone, Ali has included many of the features we offer as part of their cloud services that we get because of that. 
Unidentified Analyst: Right. So, obviously AI is very much the rage now, every day we hear about more about AI and that’s the way of the future and I accept that at Remark we were early in the AI game. So I have two questions on that and my last two questions, one is, we don’t seem to be capturing much visibility about our offering with KanKan? So I’d like you to talk about that if you could. And secondly, specifically, why did Ali Cloud and Tencent choose us as opposed to other AI offerings, which is a very significant achievement obviously? So could you talk to those two things please. 
Shing Tao: Yes, the first one – can you just clarify that question a little bit? Is it the press release…
Unidentified Analyst: Yeah, not so much the press release, I guess I follow artificial intelligence for many years and I can find lots of commentary about lot of comet companies but we don’t seem to get much visibility amongst commentators, narrators of this business, people who write about artificial intelligence. So my sense is that our focus is just to knockdown the sales and let the revenue do the talking for us. But I’m wondering if there is any kind of PR consideration that we’re making to try and make what we have more visible, in terms of columns…
Shing Tao: Yeah, I think for us it has always been the culture of the company to show substance first, right? I mean we can talk about relationship and all that stuff, but ultimately our technology has to work and that’s what we spent the last three years in building. When we say we’re early to artificial intelligence, this didn’t happen overnight, right? It was – the first part of the three years where, it takes two things to create effective artificial intelligence; one is capital and number two, data. And it took us 18 months to deal with – to capture all the data, and with luck on our side, that’s where the purchasing power has become more powerful and cheaper. And so that it allows us a company of our size to really innovate with a lot less capital. Frankly, we started going on the round of our artificial intelligence three years ago, we probably would have spent a lot of money and have nothing to show for. But – so, that’s the thing, if you look at how technology is then you know it very well, cloud computing is obviously very effective but everyone was talking about big data but there was no way to actually create value of big data. And having the artificial intelligence, part of that’s being created, finally allowed to correlate the data, make sense of it and now create some predictive analytic from it. So, it took us a while to get to this point and frankly, we like our results speak for ourselves. We’ve been talking about this technology, we were just awarded the Best Breakthrough Technology as I mentioned from Alibaba and now it becomes a process of blocking and tackling and selling our product because I think from a technology perspective we definitely – our milestone and pass that. And that’s really – the reason, in answering your second question with Alibaba as to why they chose us. Companies like Ali, TenCent, Baidu, Google, Facebook, they all obviously are very well – super smart, but the one thing – there are two things that separate us; one is they are all the masters of their own domain, while we kind of – ourselves as being able to aggregate big data across all platforms. And as you see Alibaba – therefore this is in China, Google and Facebook and Amazon their focus is U.S. We see ourselves as other potential competitors. I don’t know of other groups that has the same type of data partnership that we deal with, two very large companies. 
Unidentified Analyst: Yeah, fantastic. Thank you for taking my questions. If I could just close, are you in position to provide any update on the unicorn share…
Shing Tao: Not that I’m allowed to, we haven’t been allowed to say anything in publicly yet, I’m just – kind of follow as the lead of the share care management but the only thing I can do say is we are certainly very, continue to be very positive on our share care. 
Unidentified Analyst: Thank you so much. Thank you for taking my call. 
Shing Tao: Thank you. 
Operator: [Operator Instructions]. At this time, I would like to turn the conference back over to Shing for any additional or closing remarks.
Shing Tao: Thanks for joining us today. We look forward to speaking again in August 1 for our second quarter results call. Good bye.